Operator: Good morning and welcome to Sirius XM Radio’s First Quarter 2013 Earnings Conference Call. Today’s conference is being recorded. A question-and-answer session will be conducted following the presentation. (Operator Instructions) At this time, I’d like to turn the call over to Hooper Stevens, Vice President, Investor Relations and Finance. Mr. Stevens, please go ahead.
Hooper Stevens: Thank you, Jennifer and good morning, everyone. Welcome to Sirius XM Radio’s first quarter earnings conference call. Today Jim Meyer, our Chief Executive Officer will be joined by David Frear, our Executive Vice President and Chief Financial Officer. At the conclusion of our prepared remarks, management will be glad to take your questions. Scott Greenstein, President and Chief Content Officer will also be available for the Q&A portion of the call. First, I would like to remind everyone that certain statements made during the call might be forward-looking statements as the term is defined in the Private Securities Litigation Reform Act of 1995. These and all forward-looking statements are based on management’s current beliefs and expectations and necessarily depend upon assumptions, data or methods that may be incorrect or imprecise. Such forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. For more information about these risks and uncertainties, please view Sirius XM’s SEC filings. We advise listeners not to rely unduly on forward-looking statements and disclaim any intent or obligation to update them. As we begin, I’d like to advise our listeners that today’s results will include discussions about both actual results and adjusted results. All discussions of adjusted operating results exclude the effects of purchase price accounting and stock-based compensation. I’ll now hand the call over to Jim Meyer.
James E. Meyer: Thanks, Hooper. Good morning. The first quarter was a fantastic quarter for Sirius XM and we’re on track to meet all of the subscriber and financial targets we laid out to you in February. We grew our subscriber base by 453,000 to a new record high. Our revenue climbed by nearly 12% to a quarterly record of $897 million. Our adjusted EBITDA jump by 26% to new record of $262 million, and our free cash flow climb dramatically from $15 million in the first quarter of last year to a $142 million in this year’s first quarter. Our share buyback program also got started during the first quarter and I will give you more of an update on that in a moment. Self-pay churn and new vehicle conversion rate were 2% and 44%, which is relatively steady with last year’s first quarter. We are also raising our free cash flow guidance to approximately $915 million this year and confirming all of our other guidance. We are proud to have achieved the highest suggested EBITDA margin in the history of the Company in the first quarter. We expect to achieve a 30% adjusted EBITDA margin this year, up from 27% last year and we continue to target 40% plus margins over time. You will see us move over the next few years to become one of the highest margin businesses among major media companies in the United States. Our ability to convert the bulk of that EBITDA in the free cash flow is also unmatched in the subscription media world. When we spoke to you on our call in February, I promised you’d see more of the same. More of the same, but with even more investment and growing our pre-owned auto business, more investment in our streaming services, and more investments in developing our next generation connected car platform and telematics. What you’re seeing so far is exactly that. It’s a real testament to the ingenuity and hard work of our team and the strength of our business model that we’re able to deliver on our cash flow growth targets, while at the same time making these prudent, long-term investments. SIRIUS XM continues to benefit from a tailwind in the new car market as it recovers, with SAAR up 8% in the first quarter to nearly $15.3 million. Consensus expectations for full-year sales are almost $15.4 million, up slightly from an expectation of $15.1 million when we spoke on our last call. This represents growth versus 2012 of about6% as year-over-year comps become tougher in each quarter later this year. OEMs remained very committed to satellite radio, with new car penetration rate add about 67% in the first quarter. Among certain Asian automakers there will be gains in penetration over the next few years. You will also see announcements this year from several major OEMs broadening the installation of our next generation 2.0 architecture, which offers an expanded programming line up and improved listening features. We hold the strong belief that having satellite connectivity and IP connectivity in vehicles will prove to be a durable advantage versus IP only connectivity as we move into a connected car world. We are already working closely with several OEMs on the development of in-car apps that will provide the initial integration of SIRIUS XM streaming services. So stay tuned for announcements in this area as well. I should briefly note that much has been said about the potential threat to our business from in-car streaming. But owners – no one has recognized that broader and improved streaming also gives us a much better opportunity to better serve our customers in their homes, offices and on the go. SIRIUS XM entered the first quarter of 2013 with nearly $52 million satellite equipped vehicles in operation, up from $42 million a year earlier. This means our satellite radios are installed in approximately 22% of all registered vehicles on the road. Since our new car penetration rate is about two thirds the trend of growing vehicles in operation will just keep going for many years to come. By the end of 2017, we should have around 100 million satellite equipped vehicles on the road and in 10 years time we should see about 150 million. Within a few years, we expect more used cars to be sold with satellite radio than new cars. These stats highlight our easily addressable market opportunity and provide the corner stone of our growth. Last year we exceeded our goal of more than 1 million self-pay additions from the used car channel and this year we plan to hit an ambitious target of more than 1.5 million self-pay additions from used cars. All major automakers have now implemented certified pre-owned trial programs and more than 9000 dealers now offer their customers a trial subscription to SIRIUS XM when purchasing a non-certified pre-owned vehicle. Growing subscribers and household penetration continues to be our number one priority and I expect this emphasis will be true for quite some time to come. To drive growth over the long-term we will continue offering plans that increase revenue per household and lifetime subscriber value, such a multi-radio discounts or so called family plans, and discounted annual and multi-year subscriptions even when they’re at the expense of ARPU. That’s because we know these plans have a positive effect of driving up the ultimate amount of revenue we receive from these subscribers. What continues to drive our success and that that’s the core of our business is our unique exclusive content. We're preparing to launch two and entirely new channels, Entertainment Weekly Radio and Comedy Central Radio next month, two of the biggest brands in media and entertainment today. We had added new hosting talent such as Michael Smerconish the nationally syndicated talk radio host and our host sometimes are the news. For instance, when a new Pope was being chosen our listeners earned exclusive daily reports from New York’s, Timothy Cardinal Dolan on our Catholic Channel while at the same time he was being considered for the role himself. Live events and private concerts continue to be a great way, we can engage with our subscriber and for the great radio programming they help us create. Our Town Hall Series attracts stars, legends, icons and leaders of all kinds and in recent months have ranged from Mel Brooks to Alec Baldwin to Tony Bennett again only on SIRIUS XM. We also continue to rollout improvements and enhancements to our online offerings. Earlier this month, as promised, we debuted My SiriusXM, which allows our subscribers to personalize many music and commodity channels they love and know. My SXM is unique, users can create more than 100 variation of each of more than 50 channels and it deepens and extends the experience our subscribers have with SiriusXM. We will also be adding additional channels to the My SX lineup very soon. We remain committed to delivering the best audio content and the best audio experience available on all of our transmission protocols. I’m also very pleased to announce that our share buyback program began in the first quarter and is off to a very strong start. As of Friday, our total share repurchase to-date have reached approximately 209 million shares, including the special dividend of $327 million we paid last year – late last year, we're proud to note that we have returned nearly 1 billion in capital to our shareholders since the end of last year. We have over 1.3 billion of remaining capacity under our share buyback authorization. We have growing cash flow from operations, no near-term debt maturities. Our balance sheet remains underleveraged and both capital expenditures and taxes remain low for several years. We think over the long term, our leverage should be around 3.5x, and so should our Board decide it, we will have the capacity to continue returning capital to shareholders as our free cash flow grows and we move leverage to this target. We also continue to look over selectively, I might add, at potential M&A opportunities and areas we could increase investment internally. We have always had a very high threshold for value creation when looking at acquisition opportunities and this is going to remain true going forward. We think investing in our current business and pursuing external opportunities should they exists can both be done while maintaining a very substantial capital return program to benefit our shareholders. As a reminder, during the first quarter, Liberty Media went into a majority and control position in our company. Earlier this month, Greg Maffei became the Chairman of our Board while Eddy Hartenstein will continue to serve on our Board as lead Independent Director. We have a very capable Board of Directors. And as a management team, we have a close working relationship with our Board. Liberty has been a substantial shareholder in Sirius XM for our four years now, and we very much see eye to eye on strategy and how to best execute that strategy. As we discussed, I told you, you would see more of the same at Sirius XM. We continue to focus on growing self-pay subscribers, maintaining a tight grip on costs, delivering superior execution and improving the subscriber experience all while investing for the long-term. At this point, I’ll turn the call over to David for additional comments before taking your questions.
David J. Frear: Thanks, Jim. The Company is clearly hitting on all cylinders in addition to delivering the best first quarter performance since the merger for both total net subscriber additions and self-pay net additions. We delivered our best first quarter ever for free cash flow and set all-time quarter highs for revenue, adjusted EBITDA and adjusted EBITDA margin. As Jim mentioned, the faster than expected start to the year leaves us very confident of achieving our guidance for the year and we are raising free cash flow guidance. We also got off to a fast start under our $2 billion stock buyback program repurchasing $494 million of stock from our earnings call in early February through the end of the quarter. And a very conservative 2.5 times leverage. We have a lot of financial firepower to continue to buy back stock and review strategic opportunities for growth. Total net additions rose 12% to 453,000 and self-pay net additions rose to 304,000, the best first quarter since the merger for both measures. Growth additions were up in all channels. Aftermarket original owner and subsequent owner where year-over-year growth was consistent with our expectations that we will add more than 1.5 million new subscribers from the subsequent owner market this year. Growth in gross additions was strong enough to more than offset the increased churn coming from our larger subscriber base. Self-pay churn rounded up to 2% in the quarter and the new car consumer conversion rate was 44% both consistent with our expectations. Auto sales continue to slowly build back toward pre-recession levels. Analysts have generally been increasing their estimates and the average of the outlooks for auto sales is now almost 15.4 million vehicles. Total subscribers now stand at 24.4 million. Self-pay subscribers are up 9.2% from first quarter ’12 and our trial final amount stands at 6.2 million. Revenue was up 12% in the quarter to a record $897 million paced by 9.2% subscriber growth and 2.4% growth in RPU to $12.05. Before you all ask me about RPU, remember this years first quarter had one less day. I know it doesn’t sound like much, but one less day means one less day’s revenue, that’s about 1.1% or $9 million of revenue and $0.13 of RPU. Cash operating expenses increased by just 6.5% the lowest growth in more than a year. Subscriber acquisition cost actually declined 1.5% on higher growth additions and 15% decline in SAC per gross add to $51. Fixed expenses grew just 1.9% in the quarter and it declines in programming, and general and administrative expenses offset a 13% increase in sales and marketing costs. You’ve been seeing this for quite a while now. Most of our increased cash operating expenses come from increases in variable cost. This quarter 94% of the increase in cash OpEx was related to increases in variable cost, while contribution margin improved slightly over fourth quarter it was down 1% from the prior-year to 69.4% due to the statutory increase in music royalty rates and continuing investments in customer service. Adjusted EBITDA grew 25.8% more than double the growth rate in revenues to a record $261.9 million, and adjusted EBITDA margin expanded by 3.3 percentage points to 29.1% another all time high for the Company. SIRIUS XMs growing free cash flow and improving credit quality has allowed us to dramatically improve leverage and reduce our borrowing costs. As a result, interest expense showed a 40% improvement over 2012 first quarter dropping to $46.2 million from $77 million. Free cash flow increased nearly 10 times in the quarter to $142.5 million up from $14.8 million in the prior-year. And as promised we have used our excess cash to repurchase stock in the market place. As Jim mention, we began our stock repurchase after the 2012 earnings call in the early February repurchasing approximately 209 million shares through the end of last week. Between the stock repurchases and the dividend we paid in late December we have returned nearly $1 billion that’s 5% of our equity capitalization to our shareholders. We ended the quarter at $207 million in cash and $2.4 billion in debt. For the last couple of years we have been talking about target leverage in the range of three to four times EBITDA, and in the last year have narrowed that target to 3.5 times EBITDA. At the end of the first quarter, gross debt EBITDA was at a very conservative 2.5 times, debt market conditions are very favorable and you should expect to see us periodically and opportunistically raise new debt financing to extend maturities, ease covenant restrictions, and maintain our leverage ratio. The combination of our strong free cash flow and 3.5 times leverage target will provide the ample liquidity to maintain a very robust return of capital program and continue to strategically invest in the business. Additionally in the next several weeks we also form a new holding company to enhance our financial flexibility. The year is off to a great start and we’re confident of setting of guidance. 1.6 million net self-pay subscriber addition. 1.4 million total net subscriber additions. Revenue will exceed $3.7 billion nearly 10% growth over 2012, and adjusted EBITDA will grow more than 20% exceeding $1.1 billion. With the fast starts of the year, we have raised our free cash flow guidance from approaching $900 million to approximately $915 million bringing our guidance for free cash flow growth to nearly 30% above 2012. Operator, let's open it up for questions.
Operator: Thank you. At this time, we will open it up for questions. (Operator Instructions). Our first question will come from Matthew Niknam with Goldman Sachs.
Matthew Niknam - Goldman Sachs: Hi, guys. Congrats on the quarter and thanks for taking the question. A question on leverage, so you alluded to the 2.5 turns of leverage ending the quarter, it's about a turn below the traditional target. Are there any updates you can provide in terms of how quickly you're seeking to get there, to the target? And in conjunction with that, there's a formation of a holdco imply you might be open to accelerating the buyback pacing potentially this year? Thanks.
David J. Frear: The formation of the holdco is one of those things that simply gives us optionality. I don't think you should read anything into timing on it. There's a lot of administration associated with getting it set up, so just one of those options that you want to set up as soon as you can. On getting to the leverage target, I think as many know that we are somewhat restricted or will be somewhat restricted later in the year with – by two of our debt issues in making restricted payments that we will probably work our way to that 3.5 times sort of over the next several months perhaps into sometime early next year.
Matthew Niknam - Goldman Sachs: Okay. And then just one follow-up on self-pay churn, I just want to figure out whether the uptick that we saw, is that pure seasonality? And then more broadly with the investments you're making in content and customer service, do you sense additional opportunity to sort of grind down that self-pay churn over time going forward?
David J. Frear: First part of it, the self-pay churn is – normally the first quarter is our highest quarter for churn, so there is a seasonal uptick that comes through, I can tell you it was almost right on top of our internal expectations, so certainly fully expected. And with respect to investments and programming and customer service, I'll let Jim talk to that.
James E. Meyer: Yeah. So I think the first in customer service, which is a metric we continue always to look at closely. I think David and I have both decided that investment in this area ultimately is going to prove to help our churn in the long-term basis. It's really difficult to equate those two in the short term. And so we made a decision to invest here and we're going to stay at it for, let's call it the foreseeable future. And we're already seeing an improvement in our service metrics versus a year ago. Obviously, our content is the heart of our service and you should expect we will invest in every and any opportunity that we see that gives us an advantage for something our subscribers want both in the short term, midterm and long term.
Matthew Niknam - Goldman Sachs: Thanks, guys.
Operator: Next, we'll hear from Barton Crockett with Lazard Capital Markets.
Barton Crockett - Lazard Capital Markets: Okay, great. Thank you for taking the question. I guess one thing I was wondering about was the – when we looked at one of your key partners, General Motors, they've announced a plan for Internet bundled into their cars starting with, I think, the model year 2014. I was wondering if you could talk about whether you've had any particular discussions with GM about using that bundled Internet feature, what your thoughts are about how this can affect Sirius XM? And also Sirius XM's prominence in the dashboard, whether you might lose or gain some prominence relative to other things that might use that Internet, like Pandora?
James E. Meyer: So number one, as you know, we're not going to comment specifically on any automaker and so that automaker wants us to comment, but what I will tell you is that I believe GM is on a leadership strategy in terms of where I believe the auto industry will go in general. And that is I believe over a mid and long period of time, you can define how many years that is, you will see automakers move to what I will call embedded connectivity that will be LTE based that will give them lots of options for what they want to do for their customers and their vehicles. I think it's very important that Sirius XM participates in that rollout of technology as it occurs over the next three to seven years and that’s exactly what were all about when we referred to our connected car strategy. This is something that as I mentioned in our last call I want to reiterate again today that we’re moving and reprioritizing a lot of our technical resources and frankly now our commercial programming resources towards making that goal happen as we go out over time. So, I think that’s all I want to say about at this point, but believe me we fully understand what’s going on right now.
Barton Crockett - Lazard Capital Markets: Okay, great. And then if I could ask a question about one of the metrics with that for gross addition, which came down nicely. Could you give us a sense of whether this looks like a sustainable level going forward or whether there was anything unusual here?
David J. Frear: Nothing unusual, Barton. That SAC per gross add, it should ultimately reflect the underlying cost of making the module to go into the cars and it’s up to consumer electronics product that our engineers work hard with Tier 1 suppliers with the OEMs to continue to cost those units down. And so you should expect a steady and persistent decline in it. I can tell you that the pace of the decline will be significantly affected by the choice the OEMs make in bringing new generation radios into the cars that as many people know we have some automakers that are still deploying radios where the technology was developed seven or eight years ago and we are five, six generations down the line. So I think its one of these things that as you look out over the course in the next four, five years, you should see a steady persistent decline in fact for gross add.
Barton Crockett - Lazard Capital Markets: Okay. That’s great. Thank you.
Operator: Next we will hear from Jessica Reif Cohen with Bank of America Merrill Lynch.
Jessica Reif Cohen - Bank of America Merrill Lynch: Thanks. Can you just talk a little bit about the secondary market which will be of increasing importance, can you give us any color? You did increase the dealers, but can you give us any color on what you’re doing in terms of marketing?
James E. Meyer: Sure. So, that the way I see our business is you might want to call it how we acquire customers, lets call in three times of funnels. The funnel, the first and foremost funnel that we’ve concentrated on for 10 years, obviously the new car business we are, I think, operating extremely well on this funnel right now. I think we clearly understand the top of the funnel, which is how do we get our technology in a vehicles and how we create the best experience on the dealer lot as those dealer – as those cars are bought and then obviously we spend a lot of time on the cadence and the offer strategy for converting those customers and seeing that conversion kind of settle in at that 44% range. On the far right, obviously is a funnel, which is kind of winning back or reacquiring existing subscribers who have left us over a period of time and we proven there that we understand that acquisition model and how those customers behave when they come back. Clearly to your question the new funnel its emerging in a huge way is the second, third and fourth owner business as those cars that had technology built into them six, seven and eight years ago, now begin to change hands. I can tell you what we clearly understand number one, is how those cars should come back into the marketplace over the next three to five years and kind of what channels they will emerge in. We have both added and reprioritized or moved lots of resources within the Company now to focus on this new important funnel. I will tell you that ultimately this is a different customer than the first funnel. That the customers in this new used car funnel are going to be – in general, are going to be in my opinion potentially more price sensitive and are certainly going to be a different economic makeup and age makeup than the first funnel. And these are issues that we're going to evolve into not revolve into. We have a lot of time to thoughtfully and logically test different strategies in this area and we will do that. I will remind you and it's something that we need to begin to talk about more and more is that in our business for the last 10 years, when asked the question on how many cars were sold in the U.S., we all almost answered with what the SAR is, 15 million, 15.4 million. It's now time to recognize that there's really over 50 million cars sold in the United States every year. And I believe the power of our long-term growth is our ability as we move from kind of call it 22% penetration of the over 200 million cars that are out there today to much higher penetration and that fleet begins to replenish itself by over 50 million sales a year to give us a tremendous opportunity at second and third bites at the apple.
Jessica Reif Cohen - Bank of America Merrill Lynch: That's great. By the way, congratulations on your permanent title. And I just have one other question for Scott on – couple of times it's mentioned already on the call that content is such a key driver. So can you give us just some color on how you're thinking of building new or differentiated content or is the focus more – you mentioned two channels earlier, but is the focus more on personalization or is it on still developing content? And if it is, is it more niche content or do you still think there's opportunity for general?
Scott Greenstein: Okay, so two things. One, we're going to continue to develop content opportunistically. As most of you know I'm a fan of brands and personality because I think they resonate, they come with built-in marketing. So, Entertainment Weekly, the idea of people driving in their cars and using our product mobily and having a general entertainment channel, I thought was a natural hit on something we frankly had a gap in our lineup. Comedy Central is another area where we're strong and we'll continue to look. Jim mentioned a number of new hosts and all that. So we're going to continue to look at content traditionally in that sense. I don't think there's any reason not to. We think our lineup is now stronger, but we'll continue to look at things. As far as personalization and other things, we'll always look to see how they apply to – what we considered to be the best content. We're not going to go the route of lots of people where the algorithm or the technology will drive what the audio or content experience should be. We're going to stick to the other way where it's always going to be the content first and then how do you apply technology to that.
James E. Meyer: Yeah, I'd like to add to that, Jessica, what I think is also a very important point, and that is we are committed here to a broad suite of content. I think the music-only business going forward is going to be a tough business, okay. And that's not what we're all about. Obviously, we offer what we believe our customers want and need in the area of music. But what we think makes us different is our continued commitment to invest in every aspect of what we believe audio entertainment is all about. Obviously music but news, sports, comedy and all the other call it niche stuff that comes within that and that's what you're going to continue to see us do is offer a broad array of content, not music only to our subscriber base.
Operator: Okay. Next, we'll hear from James Marsh with Piper Jaffray.
James Marsh - Piper Jaffray Companies: Great. I just wanted to follow-up on this pre-owned funnel. It's helpful discussion that you just had there, but I was hoping you might be able to compare and contrast some of the key metrics here, maybe how churn might look over time, what the conversion rates look like, the differences in subsidies, so we can kind of get to the economics of that pre-owned funnel versus the new car funnel?
David J. Frear: So, James, there are no subsidies associated with the subsequent older market that we made the investments already on the car once during new car production and so there is no further subsidy. So, the cost tend to be the direct marketing costs associated with sending a welcome kit to subscribers, sending a conversion communication and I think you should think of those as very small numbers and something that you probably don’t have to specifically model. In terms of, kind of running through churn numbers for the separate channels in conversion rates, separate channels and my guess is that we’re still looking at the numbers, but its probably not something that we’re going to provide guidance on and for the main reason that there really won’t be anything to apply it to unlike the new car market where we have this very nice tiny little story, where all of the analysts tell us how many new car sales they expect, we know what the penetration rate and production is for the automakers and then we have this sort of very consistent result marketing that’s produced this sort of 44% to 46% range. We will actually never know in the subsequent owner market the top line, how many cars are actually selling in any given year, we’re just never going to know how many satellite radios are actually selling. We will know how many get reported to us as sold, but I think its going to be difficult to sort of build the tidy model for units in the subsequent owner business. So what we will do is we continue to provide guidance on revenue, EBITDA, and free cash flow which is ultimately what – what’s going to drive value.
James Marsh - Piper Jaffray Companies: Okay. And just a follow-up on that, Jim mentioned the potential price sensitivity of some of the customers in that channel, would you guys experiment there will different price points relative to what you charge for the new car service?
James E. Meyer: Yeah, so what I will tell you is that obviously we’ve been working on the new car funnel for 10 years, okay. And we feel like we understand it extremely well. What I will say you is this new funnel, which to me is almost like an annuity for us in terms of what will come into the top of the funnel, because its obviously based on what was incorporated whether it was five years ago or seven years ago, whatever the ultimate age will be as those vehicles change hand, is fairly well understood. What’s not fairly well understood is exactly how will those customers behave. And so what I would say is again I repeat we’re going to thoughtfully and logically test our way into what is the right way to maximize this funnel without obviously cannibalizing the new car funnel. And so there is no easy answer to your question and that means there is lots of things that you’re going to see us test and you’re going to see us kind of evolve to over the next two, three years.
James Marsh - Piper Jaffray Companies: Okay, great. That’s helpful. Thank you, guys.
Operator: And we will now hear from Amy Yong with Macquarie.
Amy Yong - Macquarie Capital: Thanks. Can you just talk a little bit about the competitive landscape and I guess as you branch out an evolving to IP and telematics, who do you think of your competitor at this point and your appetite and then I guess, could you talk about your appetite to do an acquisition? Thanks.
James E. Meyer: Well, look I think we have lots of competition from lots of places, I mean, lets remind our self our biggest competitor continues to be Terrestrial Radio who when you look at it is still a multiple bigger than us in all of the streaming kind of radio services in the U.S. today added up, okay. I don’t see today one single emerging competitor in the connected car space, I think that today the connected car platform is more of the strategy and I think what’s so crucial about it is that I think everybody is looking for a chair at the table right now and I think its really important that SIRIUM XM occupy one of those chairs and so that’s where the majority of our effort is going. Obviously, in this area one of the key strengths we bring is years and I mean years of hard work and most importantly credibility of bringing new technology and technical platforms to the OEMs entertainment and infotainment platform and that’s exactly what you’re going to continue to see us do.
Amy Yong - Macquarie Capital: Okay, thank you. Can you just quickly talk about the pace of the buybacks? It looks like the stock is trading below kind of the average price that you purchased this stock in the quarter. Would you want to increase it?
David J. Frear: Stocks go up and down and so I'm not still really have any particular comment on the recent trend in the stock. We're on pace with the program. My guess is, is that we're out of the blocks here far faster than the – both the buy and the sell-side thought we would go. And I think that's just testimony to our confidence in our ability to return capital to shareholders.
Amy Yong - Macquarie Capital: Okay. Thank you.
Operator: Our last and final question will come from Jason Bazinet with Citi.
Jason Bazinet - Citi: I have a question on the connected car market. As you look at most of the OEMs today, they seem to have partners that are already in place and I was just wondering if you could comment on how you see this evolving over time? Is it…
James E. Meyer: I'm sorry. Can you give me a specific reference to what you mean by a partner?
Jason Bazinet - Citi: Just someone that's providing the Telematics hardware today, I'm thinking of firms like wireless car use Telematics as an example. Did you see potentially just lodging one of those, do you see two providers providing hardware, do you see sort of people that are providing non-embedded systems today moving to embedded and that's sort of the opportunity? I know you won the Nissan contract, but I was just wondering if you can give any color on sort of how you think it will evolve over the next few years?
James E. Meyer: Yeah, I think that it's really unclear who is going to get what. Remember one of the things that both excites you and frustrates you about the world we play in, we're in conversation with automakers about the 2017 and 2018 model year right now. That's how far out these choices are. I can tell you the technology in many cases these auto companies are going to choose is still wide open, okay. That's why we very carefully and I can tell you we're proud of what we've undertaken to deploy at Nissan which is a strategy where the technology is 100% based on our technology and our kind of – our innovation as it rolls out. Who exactly will provide what specific services on that platform is something that Nissan will ultimately decide. And obviously we're hoping by being a co-developer and a developer of that technology, it gives us an advantage in some of those key services as they roll out. I think this world is still wide open. We – believe me, I'm familiar with all the names you're familiar with. We spend a lot of time with all of those names and I will tell you I like our chances going forward as being one of the key providers of that technology as you get out in time, particularly when automakers deploy what I will call embedded technology using new state-of-the-art telecom technology.
Jason Bazinet - Citi: And is it fair to say you think there is other two OEMs today that don't use embedded, is that a fair characterization?
James E. Meyer: I think today there are a lot of different strategies. I want to be clear with you. This isn't going to happen overnight that you're going to just go oh, wow, the market changed from kind of what I call teetered to embedded overnight. And I will tell you both of these technologies will coexist for a long, long time. And ultimately the car company/the consumer will decide which one works best for them. As I look at many of the applications down the road, it seems to us that an embedded architecture works best and I would be surprised if most if not all automakers eventually don't do both.
Jason Bazinet - Citi: Very helpful, thank you.
Hooper Stevens: Okay. Thanks, everybody.